Operator: Good day, and welcome to the Information Services Group First Quarter 2022 Results Conference Call. Today's conference is being recorded, and a replay will be available on the ISG's website within 24 hours. At this time, for opening remarks and introductions, I would like to turn the conference over to Mr. Barry Holt. Please go ahead.
Barry Holt: Thank you, operator. Hello, and good morning. My name is Barry Holt. I'm a Senior Communications Executive at ISG. I'd like to welcome everyone to ISG's first quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer; and Bert Alfonso, Executive Vice President and Chief Financial Officer. Before we begin, I'd like to read a forward-looking statement. It is important to note that this communication may contain forward-looking statements, which represent the current expectations and beliefs of the management of ISG concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K that was furnished last night to the SEC and the Risk Factors section in ISG's Form 10-K covering full year results. You should also read ISG's Annual Report on Form 10-K and any other relevant documents, including any amendments or supplements to these documents, filed with the SEC. You will be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-one.com or the SEC's website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will discuss certain non-GAAP financial measures, which ISG believes improves the comparability of the company's financial results between periods and provides for greater transparency of key measures used to evaluate the company's performance. The non-GAAP measures, which we will touch upon today, include adjusted EBITDA, adjusted net earnings and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided as additional information and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure, please refer to our current report on Form 8-K, which was filed last night with the SEC. And now, I'd like to turn the call over to Michael Connors, who will be followed by Bert Alfonso. Mike?
Michael Connors: Thank you, Barry, and good morning, everyone. Today, we will review our record financial results, our continuing business momentum, our decision to raise our dividend by 33% and our outlook for the second quarter. ISG had an outstanding first quarter, indeed our best start to a year ever. We generated record revenues of $73 million, an all-time quarterly high. And we delivered record profitability with adjusted EBITDA of $11 million, up 23% from the prior year, with an EBITDA margin of 15%, up more than 165 basis points. We continue to expand our recurring revenues reaching a record $26 million, up 13% over last year, driven by our subscription governance and research businesses and on our way to our year-end goal of $100 million. We saw good growth in our Americas, Europe and Asia Pacific regions. And with a focus on delivering end-to-end solutions via our ISG iFlex global delivery model, our utilization for the first quarter was 79%, up 320 basis points compared with the first quarter last year. This is the highest utilization in our history. Our clients are investing aggressively in technology and are depending more than ever on our expertise. Our long-term strategic initiatives have positioned us well to increase our footprint with a wide range of global enterprises. We continue to strengthen our GovernX vendor compliance and risk management solutions. During the quarter, we acquired Agreemint, an AI-powered contracting platform that brings important new capabilities to GovernX, capabilities we plan to also use to enhance other platform solutions now in development. From a client perspective, we served 500 clients in the first quarter, including 59 brand-new to ISG. Coming off a record 2021, we've extended our momentum into 2022, and the outlook for our business is strong. We see continuing demand for our data, insights, advice and tools as enterprises continue to invest in technology and services to enable greater efficiency and faster growth. Technology is crucial to improving customer and employee experiences and making organizations more agile and adaptable to dynamic market conditions. Coming through the worst of the pandemic, companies are increasing their reliance on the cloud and other digital solutions to power their businesses. There is growing demand for specialized services like cybersecurity, data analytics, application development and technology modernization. The number of choices is staggering and making your internal technology and external ecosystems work together is no easy feat. More and more companies are looking for a trusted partner like ISG to bring clarity to complexity, support continuous transformation and help get the most out of technology investments. It is against this backdrop that our Board has authorized a 33% increase in our quarterly dividend, part of our ongoing efforts to enhance shareholder value. The new quarterly rate, $0.04 per share, is payable June 17 to shareholders of record as of June 3. The increase in our dividend is made possible by the strong cash-generating power of our business and disciplined operating approach. It is part of our overall capital allocation strategy, which also includes share buybacks, debt reduction and acquisitions. Turning to our regions. The Americas delivered $41 million of revenue in the quarter, up 9% versus the prior year. During the quarter, we saw double-digit growth in our media and health sciences industry verticals. And among our services research, GovernX, network and software advisory were all up double-digits. The client engagements during the first quarter included McKesson, USAA, Verizon, McDonald's and CNO. During the quarter, we landed a number of notable wins in the health care sector. Among them is a nearly $2 million extension of work for a long-standing client, supporting the ongoing modernization of their infrastructure, security and applications, while consolidating their supplier ecosystem. We are also working with a major contract research organization to automate critical business processes, including clinical trial data, data reconciliation, regulatory requirements, auditing and reporting. This engagement is worth nearly $1 million. ISG also is providing digital engineering services to a major telecommunications company. This $1 million engagement is helping the client leverage 5G, AI, cloud and edge computing as it seeks to position itself as a hyperscaler for the connected world. Turning to Europe. Our Q1 revenues of $24 million were up 3% versus the prior year and up 10% in constant currency. That's the best operating growth for this region since the first quarter of 2019. For the quarter, Europe delivered double-digit revenue growth in our consulting, automation and GovernX businesses and in our public sector, media and banking industry verticals. Key client engagements in Europe in the first quarter included Volkswagen, Allianz, BNP Paribas and the U.K. Ministry of Defense. During the first quarter, ISG was awarded a $1.6 million engagement with a major automotive manufacturer to provide technology management support, essential to the company's ambitions to transform itself into a services-oriented organization. In the financial sector, we continue to expand our relationship with a long-standing insurance client, including new work more than $1.5 million for cloud transformation and cybersecurity. We are also helping a major bank assess its sourcing contracts to close gaps and outdated agreements and bring them up to current market pricing and service levels. Now turning to Asia Pacific. This region had a record-setting Q1 performance with revenues of $7.7 million, up 34% versus the prior year, driven by growth in our insurance, media, public sector and health sciences industry verticals. Key clients in the quarter included the Australian Taxation Office, Insurance Australia Group, Rio Tinto and the Australian Department of Home Affairs. Among our major engagements, we are supporting a technology company in Asia with digital engineering services to develop a connected mall-as-a-service platform. This $1 million engagement is creating new digital capabilities that will open doors to other retail digitization work for ISG. It is the latest in a series of wins for ISG in the digital engineering space, which is now a multi-million-dollar business and growing. Now let me turn to guidance. Our clients continue to face a number of challenges, including inflation, supply chain disruptions, higher energy costs, geopolitical concerns and talent shortages. And yet, they remain focused on continuous digital transformation of their businesses. Of course, we continue to monitor the situation in Ukraine, which has become a major hub for technology services. Although ISG has no employees in Ukraine, some of our clients have used the region for software development and other services. Thus far, we are seeing little overall effect on the global technology and business services industry, apart from work shifting to other geographies. Globally, the bigger concern is the industry's ability to meet overall demand in the face of talent shortages. ISG is working with clients on this issue now. So balancing digital demand with these macroeconomic factors, for the second quarter, we are targeting revenues of between USD73 million and USD75 million, including a negative FX impact of approximately 300 basis points and adjusted EBITDA between USD10 million and USD11 million. So with that, let me turn the call over to Bert, who will summarize our financial results. Bert?
Humberto Alfonso: Good morning, and thank you, Mike. Looking at the first quarter, we delivered a record start to 2022 as our momentum continued to drive strong top-line performance and profit growth. Revenues for the first quarter were a record $72.6 million, up 9% on a reported basis and up 12% on a constant currency basis compared with the first quarter last year. Currency negatively impacted reported revenues by $1.9 million versus the prior year. In the Americas, reported revenues were a record $41.4 million, up 9% versus the prior year. In Europe, revenues were $23.5 million, up 3% and up 10% on a constant currency basis. In Asia Pacific, reported revenues reached a record $7.7 million, up an outstanding 34%. First quarter 2022 adjusted EBITDA was a record $10.6 million, up 23% from last year's resulting in an EBITDA margin of 15%, up over 165 basis points as compared with the prior year's first quarter. First quarter operating income increased 54% to $7.7 million compared with $5 million in the prior year. Net income was very strong for the quarter at $4.9 million or $0.10 per fully diluted share compared with net income of $3.4 million or $0.07 per fully diluted share in the prior year. First quarter adjusted net income was $6.4 million or $0.12 per share on a fully diluted basis compared with adjusted net income of $5.5 million or $0.10 per share in the prior year's first quarter. Consulting utilization for the first quarter was a record 79%, up 320 basis points versus the prior year, reflecting the impact of our ISG NEXT operating model. And headcount as of March 31, 2022, was 1,403. Our balance sheet continues to have the strength and flexibility to support our business over the long-term. For the quarter, net cash provided by operations was $4.1 million, and we ended the quarter with $43.7 million of cash, down from $47.5 million at December 31, 2021. During the first quarter, ISG repurchased $5.5 million of shares and paid down $1.1 million of debt, lowering our debt balance to $73.4 million and our net debt-to-EBITDA ratio to 0.7x. Our average borrowing rate for the quarter was 2.01%, down 19% from last year's rate, and we ended the quarter with 48.2 million shares outstanding. I will now turn the call over to Mike for some concluding remarks before we go to the Q&A. Over to you, Mike.
Michael Connors: Thank you, Bert. To summarize, ISG is off to its best start ever, continuing our momentum after a record 2021. We delivered all-time high quarterly revenues of $73 million and record Q1 EBITDA of $11 million with an EBITDA margin of 15%. Our recurring revenue set a new quarterly record, powered by demand for our subscription research and GovernX services. And our balance sheet remains strong, $44 million of cash and a net debt-to-EBITDA ratio down to below 1x EBITDA. We are increasing our dividend by 33%, reflecting our business momentum. And we see that momentum continuing as clients spend on digital transformation for both cost savings and future growth. As always, we are focused on creating shareholder value for the long-term, and we are steadfast in our mission to deliver operational excellence to our clients. So thank you very much for calling in this morning. And now, let me turn the session over to our operator for your questions.
Operator: . And we'll go ahead and take our first question from Joe Gomes with Noble Capital Markets.
Joshua Zoepfel: This is Joshua Zoepfel filling in for Joe Gomes. I just wanted to start off with just the update on your guidance to ISG automation. I know you guys kind of briefly touched on that with Europe. But I was wondering just overall is it performing you guys' expectations. Just any update on that would be great.
Michael Connors: Okay. Great. First of all, our automation business continues to do well, especially in this environment. The overall market demand is up for automation to help speed cloud adoption, develop apps and streamline business processes as clients are continuing to accelerate in the digital transformation. So, the automation business is solid.
Joshua Zoepfel: Great. And I know that you guys obviously had that Agreemint acquisition in March. And I was just wondering further like maybe at the future M&As, do you guys think about maybe more tuck-in deals or are you guys looking for maybe some larger ones going forward?
Michael Connors: So, on the acquisition front, we have what we look at it in kind of parallel path, the first is what we call our string-of-pearls approach, which is to bolt-on assets that will help drive our digital business or our recurring revenues or fill some capability gaps, and Agreemint is an example of that trace point a few years ago, an example of that around enterprise change. And so, we continue to look for those in the market and are always very active there. As a result, we had Agreemint deal done during the quarter. Our second kind of parallel is always opportunistic, and that is if there is a larger transaction that would make a transformative change to the business, and that would be accretive for all of our shareowners, then that, of course, would be something we would look at as well. But that's more opportunistic. Our focus is really around our string-of-pearls strategy around digital, around recurring revenue streams and filling in capability gaps.
Joshua Zoepfel: Sure. Great. And I guess, just last question for me is, I saw that adjusted EBITDA was just up 23% year-over-year. And obviously the margin was good as well at 15%. So, I think, can you just try to tell me where the kind of drive is for that, maybe just better cost reductions, obviously higher revenue?
Humberto Alfonso: Yes, I'd say, obviously the higher revenue, but really driven by operating income gains. You saw that our operating income was a bit over 10% as a percentage of revenues, which was up almost 300 basis points versus last year's first quarter. Clearly, our ISG NEXT and iFlex model continue to contribute to that. And the outstanding utilization rate that we were able to deliver in the first quarter of 79%, while we don't know that that's necessarily sustainable, we've been very steady in the mid-70s versus maybe 10 -- or 1,000 basis points lower pre-pandemic. And so, it was very much operating income driven.
Joshua Zoepfel: Great. I'll get back in the queue. Great quarter, guys.
Operator: And we'll go ahead and move on to our next question with Vincent Colicchio with Barrington Research.
Vincent Colicchio: Yes. Nice quarter. Curious if -- you talked about strong business momentum. I'm just curious if you're seeing any signs, sort of canaries in the coal mine in terms of economic weakness in any of your geographies or verticals?
Michael Connors: No. I mean, clearly, with inflation and with supply chain, the Ukraine noise, we continue to watch this in different industry segments. But the digital transformation initiatives are winning out, I would say, at the moment. And keep in mind, we always look at this, we have kind of 2 levers in our service offerings for clients. One is, to help them grow to help them with their digital transformation with their business transformation. And the second is, we're experts in cost takeout. So if for any reason, a particular business in an industry segment might have a more difficult time than another, then we have our rapid cost takeout services available, and we do utilize them from time to time, of course. So we have both of those available depending on what the situation is with a particular client. But geographically, all 3 regions look quite strong at the moment. I think, I mentioned the European market was up 10% on an operating basis in the quarter. That's our best since 2019. And I think we indicated last year that if the Europeans began to come out of their pandemic kind of holding pattern, then we would see a good year in Europe, and we are seeing that now. So, I would say, globally around the world right now, Vince, still looks good. And I would say, the digital transformation is greater than all the macroeconomic issues at the moment.
Vincent Colicchio: A follow-up on the utilization question. I mean, 79%, that's a huge change -- step change for you guys. And I think you just said you're not sure you can maintain that high of a level. But what would be more of a kind of normal level for you going forward? What are your thoughts on that?
Michael Connors: So we are kind of target -- sustainable target is, if we could be in that 75% range, give or take, that really generates profit for the firm. And so, that is kind of our internal and that, as Bert mentioned, is about 1,000 basis points higher than approximately a year ago when we were primarily in the mid-60%s. So, our new operating model has been quite effective, and we believe we can sustain that kind of level of productivity in that mid-70% range, Vince.
Vincent Colicchio: My last question here is, digital engineering, I mean, you talked about that for quite some time being a big market opportunity. It sounds like you're hitting the stride. Just curious, are you able to hire all the people you need to satisfy the demand there? What does that look like?
Michael Connors: Yes. So, right now, we're in good shape. We have a terrific head of HR that has a great kind of recruiting machine, if you will, for us, and we've been very successful over the years. But yes, we've been able to attract the talent based on our business model and the flexibility that we provide for employees. And so, we are well staffed in the digital engineering area. As an example of that is this recent win we won over in Asia, where we're basically helping digitize in India a number of malls with retail digitization, if you will. It's a very large project. We hope this is step 1 of many. And we were able to staff that up with great -- I won't call it ease, but with great efficiency, I will call it. And we're in good shape at this point, Vince.
Vincent Colicchio: I'll go back in the queue.
Operator: And we'll go ahead and move on to our next question from Marc Riddick with Sidoti.
Marc Riddick: So, I wanted to continue on that thread, because the digitization of the retail mall kind of idea, can you just talk a little bit about how that opportunity developed and if that's a relatively new type of opportunity? And then, maybe you can sort of expand as to, are you beginning to see different types of marketplaces to pursue? I'll leave it there.
Michael Connors: Yes. So, yes. So, first of all, it is a brand-new opportunity for us. We were recommended by one of our large enterprise clients to this client, who we had never worked with before. They loved what we were doing. We sat with them and laid out a strategy on how to execute what their vision was, which is essentially the digitization of malls. Starting in India, they have plenty of room to maneuver in India, as you can imagine. The first set is a set of 10 malls where we're helping them digitize kind of the mall environment and bringing it into kind of the world of 2022, '23, if you will. So, yes, we think that is a great opportunity for us. We could envision a lot more, what we would call, retail digitization. And our whole digital engineering move is really around trying to help clients in a secure kind of intelligent and connected economy we would like to refer to it as. And so, that is what our digital engineering thrust is. We brought in an expert partner from the outside last year to help drive this business. And he and the team are doing a terrific job getting this launched for us.
Marc Riddick: That's really interesting to hear about. And then, I want to sort of maybe do a different approach to the commentary around the utilization rate because others have already mentioned that, that was at pretty strong  level. So, wondering when laying out ISG NEXT originally, did you sort of have a general target as to or how high you thought utilization could get to? And maybe talk about mid-70s as sort of a general area that you wouldn't, I guess, normally operate in. But is there sort of a high point where you sort of think or maybe you could lead to an acceleration of hiring. How should we think about maybe what the plateau could be there?
Michael Connors: Well, when we laid this out, which was in the heart of the pandemic in the summer of 2020, frankly our goal was kind of low-70% -- 70%, 72%. We thought if we could get kind of from the mid-60%s and get it with a 7 in front of it that, that would be a real cash-generating benefit for the firm and for our shareowners. Clearly, as you have seen over the last now almost 1.5 years, we have kind of blown past that and culminated with 79%, which is a level that we would not necessarily see every quarter. We think, if we can target that mid-70% range, give or take a bit on kind of a consistent basis, then this is a real cash machine, because that means our productivity is nearly as high as you can get. And remember, we use 2,080 hours as our denominator here. We do not subtract out vacation holidays, maybe like other firms do. So this is on a really 2,080 basis, which puts it even more in the kind of reflection there. So, I would say, Marc, we expected something lower. That's what we planned for. And clearly, we are exceeding what we had originally thought we could do with this model.
Marc Riddick: Right. Right. It's certainly interesting to see. And then, I wanted to sort of circle back on -- as far as the use of cash to certainly -- you've talked actively about returning capital to shareholders, and you've certainly been doing that. I congratulate you guys on that. I know it's sort of an early thought, but the initiation of the dividend last year and then raising it this year, is there sort of a long-term thought that you have around the use of dividends? Is there sort of a general thought as to sort of being a long-term sort of dividend growth kind of company? Or how should we think about that?
Humberto Alfonso: Yes. Thanks for the question, Marc. When the digital was initiated, obviously it's something that's very important to us. And so, we're coming up on our first anniversary and based on our confidence in terms of cash flow generation for the coming year, the Board was supportive of the increase, which management recommended. Look, over the long-term, I think we would like to see our dividend increasing in line with profit growth. It's not going to be a perfect match like every year, I would say. But I would say, over long-term, dividend increases in line with profitability is an algorithm that we think make sense for our shareholders.
Marc Riddick: Okay. Great. And then, the last question for me. I was sort of curious as to maybe if you've seen any differences as to overall behavior or kind of where folks are in their digital transformation journey by industry vertical? Are you seeing some verticals that maybe started out a little slow pickup or vice versa?
Michael Connors: Yes, so good question. Clearly, we operate in 20 different industries. So it does vary on the curve, if you will, who's in the first, second inning and who's in the fourth or fifth inning, nobody's beyond that stage. But I would say that the whole area of health care, life sciences, insurance, retail, those areas are accelerating their digital transformation. I would say, health care and life sciences were not the first to the party, but I think have been necessitated there. I think, retail, because they tend to be much more careful on their spending, found themselves during the pandemic in a different situation, which has allowed them now to accelerate their digital journey. Just think about the digitization of malls. I mean, who would have thought you would spend money necessarily on that. Certainly, 2 years ago, the answer would have been no. So, yes, we see good increases in health care, life sciences, retail, and even insurance, which is an industry that is quite risk-averse because that's their business. Their business is to manage risk. And so, doing kind of the disruption that automation and digital journeys do, it doesn't come easily for that industry necessarily. And we are seeing an acceleration in that area. Those would be the ones I would highlight, Marc.
Marc Riddick: Okay. Great. And then -- okay, last one for me, I promise. I was wondering sort of with the projects that you're seeing now, is there a way to sort of view what your visibility or revenue visibility is now compared to maybe a year or so ago.
Michael Connors: So, first of all, our revenue, there's 2 things that we look at. Number one, we have recurring revenues, and recurring revenues are, call it, now 1/3 of the business or so. So that gives us visibility. The second thing that gives us visibility is that we know that 80% of our revenue will come from prior year's clients. So we call that our reoccurring model. The point is, we don't necessarily know whether they're going to spend $3 million or $2 million or whatever in a given year. But we know, in an aggregate, they will spend about 80%, and therefore, we think about it as reoccurring revenue. We don't necessarily know whether they're going to complete their work and therefore us to recognize our revenue in a given quarter or in the next quarter. And so, we don't try to predict that. And we're not a product company, we don't try to cram something down a channel at the end of the quarter. We follow our clients in terms of the pace in which they want to operate. So, I would say that our visibility is certainly better than it was during COVID. But because clients will maneuver around when and the pace in which they operate, that's how we think about visibility, if you will.
Operator: We'll take our next question from Marco Rodriguez with Stonegate Capital Markets.
Marco Rodriguez: I was wondering, Mike, I think I've heard you correctly in your prepared remarks, you're talking about talent shortages at your end customers. And I believe you said that you're kind of working with those clients to kind of help them there. I was kind of curious on that. Are you looking to potentially add worker placement type services? Or is that just something kind of on a one-off type thing you're kind of helping people with? If you can talk about that, that would be great.
Michael Connors: Yes. Look, no, we are not going to be in the staff augmentation business. But what it's enabled us is that before, and I think we've said this for several years, our #1 competitor is internal to these large enterprises. And what happens is, is that if the internal enterprises have difficulty filling roles and doing things internally, they begin to ship to them to clients -- clients will begin to ship to those trusted partners that they believe can do that work. And so, what may have been done internally in the past, now Enable gives ISG an opportunity to do work that we wanted to do before, but because clients have opted to try to do it internally themselves. So that has also been a great benefit to us. And that's what I meant by saying, we are working with clients now in areas that we really try to focus our business on whether that's networking -- networks or whether that's cost optimization or future of work or cyber or business ops, whatever it might be, where they may have done some of that work inside, they are now saying, you know what, let's just move this work and let's have ISG help us with this strategy and with this cost optimization or with these business operations. That's what I mean by that. That is a benefit to us.
Marco Rodriguez: Got it. Understood. And have you seen that -- I'm assuming you're seeing this opportunity here to basically kind of take share from the overall landscape sort of accelerating in the last few months or has there been something that's been building here for the last year?
Michael Connors: No. I would say, since kind of the beginning of the year, this has become a bit of a shift in client behavior, which is to our benefit.
Marco Rodriguez: Got it. Much appreciate it there. Then circling back around to the conversations that we were having on acquisition, can you just give us a little bit of background on the recent acquisition, just, I mean, how it kind of came about, the time frame it took you to basically kind of look at that opportunity and pull the trigger, if you will?
Michael Connors: So, on Agreemint, we had worked with Agreemint last year, and we were working on 2 major very large enterprise clients. And we approach the team at Agreemint. And we said, look, why don't we think about having you join ISG full time? And I would say that between roughly the January time frame and the time we closed it, which I think was April -- March 28, that would have been the time line on that one.
Marco Rodriguez: Got it. Very helpful. And then, if you can maybe talk a little bit about what your M&A pipeline sort of looks like right now and how the sort of landscape of opportunities for you has been shifting over the last 12 months or so?
Michael Connors: So the pipeline is strong. There are opportunities that are out there. As I've said before, we do a lot of our own sole-sourced work. We have areas that we're interested in and we target and we have conversations with potential target companies to see if they have interest in joining the ISG franchise, if you will. And so, that is ongoing. It's constant. It also normally takes a while because it's both an emotional as well as a financial deal. And that's because most everybody we work with are the owner-operators of those businesses. So, I would say that the pipeline is strong, but we don't try to move things at a pace that the owners are not interested in moving. We move at their pace. And so, some of them can take shorter periods and some can take longer, of course, but we feel good about our strategy. We've executed it well over the years. We've done 10 transactions. And I think we've done them exceedingly well and accretive to all of our owners.
Marco Rodriguez: Got it. Very helpful. I appreciate your time, guys.
Operator: And we'll go ahead and take a follow-up from Vincent.
Vincent Colicchio: Yes. Mike or Bert, could you help us, for modeling purposes, think about the sequential direction of each region into Q2?
Michael Connors: When you say sequential, you mean internal growth or...
Vincent Colicchio: Sequential revenue growth, yes.
Michael Connors: Yes. Well, look, we -- as a firm, we talk about it globally, not by region. So, I think we've given the guidance for the quarter, but we do expect all regions to continue their growth trajectory that you saw in the first quarter.
Humberto Alfonso: Yes. The one thing we would add, and Mike added in some of his comments was, in the European context as well as in Asia Pacific, we do expect that constant currency will outpace -- operating results will outpace U.S. dollar results. And we have a sort of a range, 200 or 300 basis point drag from FX, as you all know, the dollars are at a particularly strong level these days.
Vincent Colicchio: And then, Mike, could you maybe highlight the service lines that should be strongest this year and which ones may lag?
Michael Connors: Yes. Well, look, I think automation, I think network, I think our sourcing business will all be strong. Cyber will be strong. Our software services will be strong. And of course, all of our recurring revenue, GovernX and research, we expect to be double-digit revenue this year. So those would be the ones I would highlight, I think, Vince.
Operator: And with that, that does conclude our question-and-answer session. I would now like to turn the call back over to our presenters for any additional or closing remarks.
Michael Connors: So let me close by saying thank you to all of our professionals worldwide for their continued dedication to our clients and delivering our record first quarter results. I think, our people have a passion for delivering the best advice and support to our clients as they continue their digital journeys. And I cannot be more proud of our team worldwide. And thanks to all of you on the call today for your continued support and confidence in ISG. Have a great rest of the day. Thank you.
Operator: And with that, that does conclude today's call. Thank you for your participation, and you may now disconnect.